Operator: Good day. My name is Jack, and I will be your conference operator today. At this time, I like to welcome everyone to the RenaissanceRe Third Quarter 2016 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Peter Hill, you may begin your conference.
Peter Hill: Thanks, Jack, and good morning, everyone. Thank you for joining our third quarter 2016 financial results conference call. Yesterday, after the market closed, we issued our quarterly release. If you didn't get a copy, please call me at 212-521-4800 and we will make sure to provide you with one. There will be an audio replay of the call available from about 1:00 p.m. Eastern time today through midnight on December 2nd. The replay can be accessed by dialing 855-859-2056 U.S. toll free or +1-404-537-3406. The passcode you'll need for both numbers is 95393243. Today's call is also available through the investor information section of www.renren.com and will be archived on RenaissanceRe's website through midnight on January 11th. Before we begin, I am obliged to caution that today's discussion may contain forward-looking statements and actual results may differ materially from those discussed. Additional information regarding the factors shaping these outcomes can be found in RenaissanceRe's SEC filings to which we direct you. With us to discuss today's results are Kevin O'Donnell, President and Chief Executive Officer; and Bob Qutub, Executive Vice President and Chief Financial Officer. I'd like to the call over to Kevin. Kevin?
Kevin O'Donnell: Thanks, Peter, and thank you all for joining today’s call. Let me being by first welcoming Bob Qutub, our new CFO. Bob joined us in August and has gotten opt to a great start. He has a long carrier of demonstrated leadership and I look forward to working with him as a member of the RenaissanceRe team. Moving on to discuss our results, I am pleased with our execution so far in 2016. We maintained our Cat leadership, grew our Lloyd operation by 20% and grew our Specialty segment by close to 70%. We’ve also increased our organizational efficiency as our run rate operational expenses are essentially flat for the year-to-date. With a strong third quarter on many fronts, despite the recent end to the land falling hurricane drought in the U.S., the third quarter storm Hurricane Hermine did not cause material losses or effect many reinsurance programs. And consequently BCAR property portfolios performed well. We will discuss the impacts of Hurricane Matthew, which occurred in the fourth quarter later on this call. Looking ahead, we anticipate that 2017 may prove to an even tougher year than 2016. Despite this, we are optimistic about our opportunities for profitable growth for many reasons. These include the investments we have made in our platforms, our people and our capabilities and the strong relationships we have developed with our client. We will look to maintain our current leadership position in property Cat which seeks to grow in other areas such as mortgage insurance and also with our U.S. and Lloyd’s platforms. Additional sources of future growth will come from several discrete corners of the business. In property Cat, we’re first call market for the Cat solutions. Our Cat leadership here should continue to provide attractive opportunities. Unfortunately, I do not expect that these opportunities will always offset declining rates but they should diminish the effect of rate reductions. In other property, we continue to see more opportunities in areas such as quota share, property per risk, U.S. regional business and delegated authorities which we ride through our Lloyd’s unit. In casualty and specialty, we plan to grow in all our platforms including Lloyds. We expect this growth will come from two principal sources, increased signing on existing programs where clients look to consolidate their panels and supporting existing customers and broader classes of business as clients look to partner more with RenaissanceRe. Given the market dynamics, we continue to believe the best opportunity to outperform will come from managing our gross to net underwriting risk and constructing efficient portfolios partly through our seeded strategies. Year-to-date, we’re retaining less than 50% of our managed Cat premium including DaVinci. This high percentage of series premium serves to reduce our returns in quarters with light Cat losses. However, in high loss quarter, it protects our balance sheets. Through 2016, we are focused intensely on increasing our capital efficiency and we’ll continue to do so through 2017. Our primary means of achieving this capital efficiency has been through diversification, as we have changed our business mix from over 70%, Cat excess of loss in 2013 to the point where we have approximately 50% of our portfolio in property and 50% of the booking casualty and specialty for the year-to-date 2016. As Bob will discuss, we plan to change our segment reporting. We are making this change to better align our financial reporting with how we manage the business. We will be moving to two segments, property and casualty and specialty. This should also make it easier for you to understand RenaissanceRe. Lloyd’s results will no longer be reported as a separate segment. However, over the coming periods, we will continue to provide standalone information on our managed catastrophe and our Lloyd’s business for the sake of transparency. With that I’ll turn the call over to Bob to look at our financials and our new segment reporting approach. Then I’ll come back and share a bit more on our business performance before we open it up to questions.
Robert Qutub: Thanks for the kind words Kevin, and good morning, everyone. I’d like to start by saying how pleased I am to be a part of the RenaissanceRe team. I am excited to continue executing the company’s strategy, building on the great work already taking place. Jeff has let the organization in great financial condition with a strong balance sheet and the team has successfully executed a number of strategically important initiatives. I look forward to working with all of you as well going forward. With that let’s discuss our results for the third quarter and year-to-date. I’ll begin with some highlights from the quarter. Our top line growth continued to be strong where we’re able to grow the top line in our Specialty and Lloyd segments. We also saw abundant opportunities in mortgage reinsurance within the specialty credit lines. We generated strong underwriting income of $112.9 million and reported a solid combined ratio of 67%. Our investment portfolio generated strong returns driven by our equity investments and our tangible book value per share grew by 3.9% after adjusting for dividend. For the year-to-date, tangible book value per share has grown by 9.5%. Moving on to our third quarter financial results, we’ve reported net income of $147 million or $3.56 per diluted share. Our operating income was $87 million or $2.09 per diluted share. We generated an annualized ROE for the quarter of 13.5% in annualized operating ROE of 8%. Our book value per share increased 3.3% and our tangible book value per share including accumulated dividends increased by 3.9%. On a year-to-date basis, our ROE was 12.6% and our operating ROE was 6.7% with book value per share increasing 8% and tangible book value per share including accumulated dividends increasing 9.5%. Let me now shift to our segment results beginning with our Cat segment followed by Specialty and Lloyd's. Our Cat segment, gross premiums written decreased 18% and managed Cat gross premiums written decreased 15% during the third quarter. For the year-to-date, managed Cat gross premiums written are down 3%. This compares with our top line forecast of 10% decline for the year. The Cat segment generated underwriting income of $96 million in a combined ratio of 21%. This result was driven by a light insured last quarter and favorable reserve development of $17 million. For the first nine months of 2016, the Cat segment generated underwriting income of $246 million in a combined ratio of 38%. As a reminder, these nine month results include a net negative impact of $46 million associated with losses from Q2 Texas events and the Fort McMurray wildfires. In our Specialty Reinsurance segment, gross premiums written increased by 26% relative to the quarter a year ago. The main driver was significant growth in our credit book primarily reflecting increase mortgage reinsurance opportunities that we have been highlighting in recent quarters. Most other classes of casualty and specialty businesses were relatively flat. As a reminder, our specialty reinsurance premiums are found significant volatility as this business can be influenced by a small number of relatively large transactions. It should also be noted that a meaningful portion of the mortgage reinsurance business will earn out over multiple years. For the year-to-date, specialty reinsurance premiums are up close to 70% from a year ago, reflecting strong growth in mortgage reinsurance in the inclusion of five months results in our financials following the close of the transaction on March 2015. As we have grown our specialty book, we have also increased the use of seeded purchases to manage our assumed risk and enhance overall returns. Consequently, net premiums written in specialty reinsurance were up 14% in the third quarter and 43% year-to-date compared to the larger increases in gross premiums written previous discussed. The Specialty Reinsurance segment generated underwriting income of $1 million in a combined ratio of 99%. These results include favorable development of $20 million, a decrease of $36 million compared to the $56 million recorded in the prior period. Year-to-date, the underwriting income in Specialty Reinsurance is $17 million with a combined ratio of 96%. In our Lloyd segment, we generated 92 million of gross written premiums in the third quarter, an increase of 25% compared to the year ago period. The growth was driven by select opportunities in the casualty book of business. For the nine months of the year, gross written premiums increased 20%. The Lloyd’s segment generated underwriting income for the third quarter of $16 million with a combined ratio of 79%. Driving this increase was a 12 percentage points of favorable development and an 8 percentage point decrease in the expense ratio relative to a year ago. Year-to-date, the Lloyd segment generated underwriting income of $19 million in combined ratio of 91%. We’re pleased with these results as the book preformed well. Of course, results quarter-to-quarter will continue to vary due to the across the special and as or other factors. Turning to our investment, we reported net investment income of $51 million in the third quarter. This was mainly driven by investment income from fixed maturity securities totaling $40 million and our alternative investments portfolio which generated net investment income of $13 million. The annualized total return for the quarter on an overall investment portfolio was solid at 5%. We benefited from strong returns in our portfolio of public equity investments that helped to offset the upward shift in the yield curve during the quarter generating unrealized losses on fixed maturity investments. We continue to conservatively position our investment portfolio with 89% allocated to fixed maturity in short term investments with a high degree of liquidity and modest credit exposure. The duration of our investment portfolio remained relatively short at 2.3 years and stable relative to where it has been in recent quarters. The yield-to-maturity on fixed income and short terms investments was consistent with last quarter at 1.8%. Our capital holding company liquidity positions remained very slow. During the third quarter, we purchased 321,000 shares for a total of $37 million, all of which we mentioned to you on our second quarter call. This brings our year-to-date share repurchases to $309 million. As we look forward, we remain committed to returning capital to our shareholders overtime. Timing will depend on our view of our other business opportunities, the profile of our risk portfolio as well as our capital and liquidity profile. Included in the equity pick up line item, was a $15 million loss representing our share of Top Layer Re’s results for the quarter. Top Layer Re had a yen denominated reserve for the 2011 Tohoku Earthquake, partially offset by U.S. dollar denominated reinsurance recoverable. That consistent with our business practices, Top Layer Re economically hedged the dollar yen mismatch. During the quarter, both the yen denominated reserve and the dollar denominated reinsurance recovery were taken to zero. Since the yen had weakened versus the dollar, Top Layer Re experienced a foreign exchange loss. Again hedging currency mismatches is consistent with our business practice and this one is not unique, it's just large. Now turning to Hurricane Matthew, although not impacting our third quarter results Hurricane Matthew made landfall in early October is a powerful and deadly storm. First and foremost, our thoughts are with those impacted by Hurricane Matthew especially those who lost their lives during the event. Although it's still relatively early days we have developed an estimate of a net negative impact of Hurricane Matthew. We currently estimate we will record $75 million of net negative impact on our fourth quarter results. Given the magnitude and recent occurrence of this event, meaningful uncertainty remains regarding losses from this event in the actual net negative impact and this event will likely vary from this estimate. Now as Kevin mentioned earlier, I’d like to discuss a plan change in our reportable segments that we anticipate becoming effective with our fourth quarter and full year results. Effective December 31, 2016, we expect to change our reportable segments to property and casualty and specialty. Although Lloyds will not be considered as segment, we will continue to show up in our supplemental disclosures for some period of time. In addition, we expect to continue to provide transparency into the underwriting results of our catastrophe reinsurance business. The new segment presentation captures the evolution of the company and the increase importance of our casualty and specially lines of business which now represents approximately 50% of our top line. It also reflects our current management structure in underwriting platforms and provides insight into the results of the operations reviewed by management. The new segments are based on extensive work performed during 2016 some of which is still ongoing to recast our current and prior periods within our financial systems. So the introduction of the new segments is contingent on the satisfactory completion of this work, which we expect to complete in the fourth quarter. All prior periods presented will be re-classed to conform to this new presentation. We will likely issue an 8K with the restated segment information for the last 11 quarters prior to our year-end earnings release. In addition, due to the pending change in segments, we will not be providing top line premium forecasts. To close my prepared remarks, I would like to thank our Chief Accounting Officer and Controller, Mark Wilcox for his outstanding service to RenaissanceRe over the past 13 years. Please join us all in congratulating him and wishing him all the best as he returns to the U.S. to take on his new role as the CFO of Selective. And finally I’d like to reiterate how excited I’m to be a part of this team and look forward to meeting with all of you over the coming months. We can spend some meaningful time on the new segments along with getting to know each other better. With that I’d like to turn the call back over to Kevin.
Kevin O'Donnell: Thanks, Bob. I’ll divide my comments between Catastrophe, Specialty and Lloyd's and then comment on our venture unit before taking questions. Our Cat segment performed well this quarter, despite a relatively large number of events. In addition to the Atlantic hurricanes, we had an active typhoon season with eight tropical systems affecting Japan, six typhoons making landfall in China or Taiwan. We also saw historic flooding in the Louisiana, destructive hail storms in Colorado, devastating earthquakes in Italy and South Korea, and a wildfire loss in Los Angeles. Despite this activity, the property Cat market remains challenging. The good news is that federal insurance companies appeared to be more focused on consolidating the reinsurance panels with high quality companies. Seasons are tearing the reinsurers with the best reinsurers getting most of the new opportunities. To many companies, Hurricane Matthew drove home the value of working with a long term and seasoned partner with a strongest claim playing record when it seems poised to make landfall as a major hurricane. At this point as worth expanding on Hurricane Matthew, even though this event took place in the fourth quarter, Matthew made landfall in South Carolina in early October and cause losses as it passed through the Caribbean and from Florida to North Carolina within the U.S. Matthew maintained hurricane strength while creating damaging winds along about 750 miles of the U.S. coastline. Hurricane Matthew was the first category type hurricane in the Atlantic since Hurricane Felix in 2007 and looks likely to be the costliest Atlantic Strom since Sandy in 2012. Has Matthew formed and was developing further in the Atlantic, our underwriters with their team of scientists of weather predict closely monitoring the storm, its potential for strengthening and the most likely track it would take. The range of potential outcomes from this event was highly variable. A slight difference in the track, for example of Matthew evolved about 30 miles west of its actual course would have made a meaningful difference in the impact to the Florida market and the broader industry. As it became more apparent that this storm would make landfall both in the Bahamas and the U.S. we made sure to be in close contact with our clients and brokers. Our ability to develop a number of proprietary alternative footprints to run against our industry database, our portfolio and those of our clients proved invaluable in our response. The speed and skill of our people and our systems is testament to our experience in responding to events just like this. As we've spoken about previously, legalize both a top down and a bottom up approach to establishing our loss number. Matthew will be no different. At this early stage, there is a lot of uncertainty with regard to the ultimate industry loss and more importantly, with each of our customers, individual books and their respective reinsurance protections. As Bob mentioned, however, we expect to incur $75 million in net negative impact, which will be booked in the fourth quarter. Over the next several months, our customers will learn more about the loss and that information will help us sharpen our estimate of equal importance is the benefit we can realize from our seeded programs. We continue to see strong premium growth in casualty and specialty. This result was primarily driven by opportunities in our financial and credit lines particularly in the mortgage reinsurance business. Our market leading position in this phase continues to serve as well as clients look to us to build capacity. The mortgage business is interesting and seems to be getting more attention. We are leading rider of this risk and have been in this phase since 2009 and we made our investment in asset. This is a good example of a market we approached carefully, building up expertise over time and then moving quickly to act as attractive risk and taking substantial positions when the opportunity became available. While the growth in our mortgage reinsurance portfolio has been strong, we do not anticipate this growth to continue at the same pace. This quarter was similar to the last in casualty and specialty seeding commissions while elevated remain stable. As I mentioned last quarter, we continue to monitor rates and performance of our customer's underlying portfolios. We also expect that the stability in terms and conditions that we've seen in the past few quarters will persist. We still believe in casualty and specialty market as much to offer in terms of profitable business relative to many competitors, we have a small market share of most business, which gives us room to grow without adding economic capital. We have been able to construct an attractive portfolio with a great stable of clients due to our strong position in the catastrophe business and the solid Platinum portfolio we acquired. Overall I'm pleased with our growth in this segment and the strength of our underwriting teams across our platforms. The disciplined approach the team has taken has enabled us to build the portfolio and serve our clients around the world. We continue to see the strong acceptance of our casualty and specialty platform. Client share are optimism about the long term growth potential of the market and are realistic about what to expect given the challenges our business environment presents. We will continue to look for opportunities to participate on the best deals that are aligned with our risk appetite and disciplined approach. This means working across our platforms to develop deeper customer relationships that can benefit from the diversified platforms, product set and underwriting expertise that only RenaissanceRe has to offer. We did strong quarter in Lloyd's, which continues to be profitable for the year. This quarter's result was driven by low Cat loss activity and favorable reserve development. It is a reflection of the strong underwriting platform we’ve developed. We will continue our ongoing focus on greater capital efficiency as the Syndicate grows. Heading into 2017, we have a strong team at Lloyds and have constructed a very attractive portfolio of risk. As with their other platforms, we expect to deepen and strengthen our relationships with existing clients over the long term. The growth we’ve seen at Lloyd’s demonstrates the value of having multiple platforms to allow our clients to seed risk, where and how best they choose. We expect organic growth to continue through 2017 although unlikely at the phase, same phases 2015 and 2016. Our ventures unit continues to contribute to our broader results and to our ability to execute our gross to net strategy. For example, the strategic investments managed by our ventures unit had significant mark-to-market change this quarter. And thinking about our strategic investments, we employ a long term buy and hold strategy. We looked to buy the business not the stock. We continue to explore new joint venture opportunities in both Cat and non-Cat. In doing so, we pass on many more opportunities than we execute on. As we prepare for one-one, the ventures team is working with their underwriters on select opportunities where additional capacity could be useful. This includes opportunities in the retro market and other areas where we can inevitably match risk and capital in a manner consistent with their disciplined approach. As I said in the past, we will only bring new capital to this market when there is a clear need on the part of our clients and we are in the best position to meet that need. At this point, I’ll turn it over to questions.
Operator: [Operator Instructions] Your first question comes from Kai Pan with Morgan Stanley. Your line is open.
Kai Pan: Good morning and thank you. And first congratulations to Bob as well as good luck and best wishes to Mark. Kevin, you mention in the past that you’ve spent a long period time, we haven’t seen land falling storm in Florida, now we have two. I just wonder, does that change the dynamics in term pricing and January 1 renewals. Even before this event, we see some sort of decelerating in term of pricing decline, while those events actually helping the pricing moving to the possible territory and how do you plan to fulfill your business?
Kevin O’Donnell: Thanks, Kai. I think I agree with your assessment generally about the direction of pricing for property Cat at the January 1 renewals. I’m not sure whether these hurricanes are going to change that, but I still feel reasonably optimistic that whatever reduction there may be in January if any, it will be smaller than what we’ve seen in the past. I think one thing that’ll be very interesting and something I am curious about watching with these storms is how the Florida market response, as you mentioned, there hasn’t been a loss there in quite a long time. One of the emerging issues in the Florida market is the assignment the benefits issue where Matthew hit really isn’t the geographic region where that activity has been most prevalent. But it will be interesting to see whether AOP issues emerge and how much for claim activity there actually is in Florida market. Well, that said, I wouldn’t change my pricing expectations for the January 1 renewal based on these storms.
Kai Pan: Okay. Just a little bit follow-up on that, is that the pricing stay at the same or maybe slightly decline. Do you expect you grow in that business in the property cat business?
Kevin O’Donnell: So I don’t expect that we will grow in the property cat business in 2017. If you look last year, I think our reduction over is around 3%. Looking at 2017, I think rate reductions are less. We anticipate lower rate reductions that we had in 2016 and are optimistic that our book is well positioned to respond well to small reproductions.
Kai Pan: Okay, that’s great. My second question is just stepping back on the overall ROE for this year. For the third quarter, is no cat quarter and if you take out this one-off items like foreign exchange, your ROE is approaching about 10%. I just wonder is that in this current environment given your mix change towards more specialty and casualty, is that a kind of ROE profile for your company going forward?
Kevin O’Donnell: I think - when I think about our portfolio, I think focusing on a quarter granted there’s always unique thing in a quarter, isn’t the way that we think about it. We try to build the best portfolio over the full set of outcomes. One of the actions that we’re taking in part of our strategy is managing our net risk pretty aggressively. So I mentioned we’re keeping less than 50% of the gross risk premium property cat. That obviously suppresses our returns in light cat quarters, but will serve to protect us in large cat quarters. I think there’s a cost to the strategy that we have there’s a cost to what I believe to be doing the right thing and that is something that is a trade across light cat quarters and heavy cat quarters to provide what we think is a good return. But I think the way you’re thinking about it makes some sense.
Kai Pan: Okay. It’s great. Well, thank you so much.
Kevin O’Donnell: Thank you.
Operator: Your next question comes from Michael Nannizzi from Goldman Sachs. Your line is open.
Michael Nannizzi: Thanks so much. Couple of numbers questions if I could, the expense ratios in specialty, so the operational expense ratio in specialty sort of pick down in the quarter but the notional dollar amount was also smaller year-over-year sequentially and also Lloyd’s, it was a bit more of a pronounced difference same line item. Is there anything specific that happened in the quarter there that explains that.
Robert Qutub: Yeah, it’s a good question. We’re overall very pleased with the work that we’ve done our expenses and our core run rate remains relatively even as we significantly grown our book of business. In Q3 decline operating expenses comes in part from those efficiencies but in Q3 remain some reclassifications in operating and acquisition, mainly as you point out in Specialty and Lloyd’s up into acquisition which is really to conform to how we reflect some of our seeding overrides that we have in the book for the year of 2016. The conformity has no impact on the overall expense ratio or the combined ratio. It’s just as a better reflection on what’s driving these costs going forward.
Michael Nannizzi: Okay. Got it. Okay and then in specialty, you mean notwithstanding that the acquisition or the overall expense ratio was a bit was a bit higher, is that a function of the higher written premiums that maybe just a small proportion of those earned through in the quarter?
Robert Qutub: Just to make sure I got your question, you’re focused on the combined ratio being driven by the higher gross written premium, Mike, sorry.
Michael Nannizzi: So in the specialty segment, the acquisition ratio picked up a bit sequentially, I mean year-over-year, it’s relatively flat. I was just curious as the year progresses, I mean is that - was that more of a function of the fact that you saw a lift in gross written premiums, net written premiums in terms of the mortgage business or maybe your - you have acquisition expenses associated with the written premium as opposed to the earned dollars or was that as you expected it to be?
Robert Qutub: I got that, Mike. What this really is the offset toward I was talking about on the operating expenses, the reclassification and moving those on the override up into acquisition costs, you see that bump up there. That we’ve seen an underlying turn of cost reductions that I spoke across all expenses but that’s the really the principle driver there.
Kevin O’Donnell: One thing I add to Bob’s comments, which are exactly right is that, the acquisition cost for book of business on the gross basis is reasonably steady, expense of reclassification is what you’re saying.
Robert Qutub: And get no impact as a net expense ratio or the combined ratio.
Michael Nannizzi: Okay. I’ll switch and then just within that specialty segment just thinking about the mortgage book that’s clearly become a bigger piece of the pie. Just how should we be thinking about gross to net written, net written and net earned with the longer sort of earning timeframe for that specialty business. So guess it’s going to be different than it was in the past, obviously?
Robert Qutub: Yeah, what I would say is starting with just this the gross number, I think - if I think of a three year lock 2016, 2017 and 2018, we definitely wrote more than we expected in 2016, because looking forward, we think the economic support in 2016 are going to be better than the economics offered in 2017 and 2018. With that, our sessions are set to the 2016 book. Most of them are proportional so that will run through a straight on an earned basis.
Michael Nannizzi: Okay. And then the earnings pattern sort of in the seven year range-ish for the mortgage specialty business?
Robert Qutub: I think that’s a reasonable estimate, I think if the high ending price stretched out to ten, that’s a good estimate.
Michael Nannizzi: Okay, okay great. And then just last real quick on the investment portfolio, the yield sort of kicked up, I noticed that non-rated securities kicked up a little bit as a percentage of the total, was that just sort of positioning or was there something else within maybe one of the buckets that created the difference in the yield, I'm talking specifically about the fixed maturity investments?
Kevin O'Donnell: Right, overall we’ve maintained a relatively short duration book of just over two years. We have done some movements within there, but they're small and the sort of credit side of it, but we kept the duration really about the same, so some of dynamics would be in the credit side.
Michael Nannizzi: Okay, great. Thank you.
Kevin O'Donnell: Thanks Mike.
Operator: Your next question comes from the line of Quentin McMillan with KBW. Your line is open.
Quentin McMillan: Hi, thanks guys. I just wanted to touch on the net to growth strategy that you guys have whether it be in specialty and Lloyd's to the overall book of business, but you’ve said you sort of and then the Cat book, I’m sorry. So you sort of keep in less than 50% of the premiums, can you help us to understand what benefit you're getting from the fee income that you're taking in whether it be an offset the expense ratio, how big is that or what should we sort of be expecting going forward?
Kevin O'Donnell: I think the broader - let us start more broadly, thinking about our growth to net, one of it is certainly is taking in third party capital and managing it, other it is more of what I would consider quoted shares or specialized quoted share that we call CPP and then there's traditional excess of loss business. So it's a combination of things, we don't necessarily focused specifically on what the fees are. We focused on the difference between the expected profit and the required capital between our gross portfolios and our net portfolios, and we think that's a better way for us to think about it. The fee is specifically for cat are in the 10Q so you can take a look at that and that you'll be up, you’ll see the number I guess publish later today. But that's not necessarily the focus that we have and thinking about constructing the portfolio, it’s purely a portfolio basis on the delta between profit and required capital.
Quentin McMillan: Okay, that's helpful. And then shifting to our specialty specifically, if I look at the axe in your loss ratio x cat, I mean it was up about 680 bps year-over-year from what was a pretty strong number last year at 60.9 to 67.7. I just I'm curious kind of as the portfolio mix shift is changing, I would have expected that number should actually be improving despite the pricing headwinds, because my expectation would be that mortgage insurance is actually a lower loss ratio business, particularly what you've written in 2016. So I guess am I my thinking about that correctly and was there any sort of one off losses in 3Q 2016 within the specialty book in particular that may have elevated that that we should be thinking about for 3Q 2017?
Kevin O'Donnell: So, I look much more at the longer term loss ratios within the book of business. And I think what we're going to have quarterly fluctuations in that book, what I focus much more on is whether we are seeing trends that are causing us to have less profitability and more profitability in the book of business. But it's not one that I focus on a quarter-to-quarter basis. At this point in time there's no trend in the book that I would point to as being significant or further commented on a year-to-date basis, is reasonably stable.
Quentin McMillan: Okay thanks. And then just one last one snick in is and you guys don't give guidance in terms of buybacks I know you’re opportunistic, but is net income target for the year a good way for us to think about how much you guys might expect to repurchase to shareholders never given you.
Mark Wilcox: Well, thanks. As I mentioned in my prepared comments nothing is really changed regarding our philosophy or approach to capital management and we remain committed to returning capital overtime. And timing depends on really a number of factors which includes our view to opportunities, the profile of our risk portfolio as well as well as our liquidity profile. And so for this year we've returned $350 million in the form of buybacks and dividends to our shareholders, and historically the third quarter contend to be like for buybacks due to hurricane season. If you look at our history you’ll see that we've demonstrated that we're good stewards of our shareholders' capital and turned over a billion dollars in the past three years.
Quentin McMillan: Perfect. Thank you very much guys.
Operator: Your next question comes from line of Elyse Greenspan with Wells Fargo. Your line is open.
Elyse Greenspan: Hi good morning. Just a couple of questions, one quick one, I know you did say that you are not providing premium guidance due to the new segments that you're going to put forth. Are you then going to be providing some level of premium guidance on a segment basis or is it just we're shifting away, I guess from premium guidance on a go forward basis?
Kevin O'Donnell: I think everything you said is correct, we didn't guidance now and knowing segments are changing doesn't make sense, but we're taking this opportunity to look at the transparency that were providing across all of our disclosures. And we feel that we can continue to provide great transparency and great understanding of the way in which we're going to deploy capital and where we're going to deploy our resources without giving specific guidance going forward.
Elyse Greenspan: Okay. And then in terms of the capital return I noticed that you guys didn't call out a level for the Q4 to date in the press release. I guess where you guys I guess still may be on the lower side due to the fact that we're still on hurricane season or any kind of number you want to call up for Q4 repurchases that we've seen so far?
Kevin O'Donnell: We - In my prepared comments, I said year-to-date and then through the caller here and that number will be in the 10Q when we file today that we have really not purchased any up to this call right now, but again it's a matter of timing and opportunities that I’ve talked about at least that would reflect when we return share - when we do perform buybacks out there.
Elyse Greenspan: Okay that's great. And I know we talk, I mean the expense ratio just on an overall basis as we think about the business makes kind of shifting you know way from cat in more into the specialty and Lloyd's. Any kind of I know it's kind of kicked around a bit on a quarterly basis any kind of high level views as we kind of think about the Q3 was the highest quarter this year, as you think about the expense ratio on a go forward basis.
Mark Wilcox: I think look at our pick up part of just on my observations and where I've seen and Kevin you can add anything here, but I think it's a great question. I've only been here a short while and decisions around expense management can’t be divorced from the strategy or the overall business mix in any industry, in our industry running a business gross versus net asset being an impact as those excess over loss or quite assuring. So these play an important part of how to manage your expenses more importantly our capital. And overall, we're really pleased with what has been done in keeping our overall expense as flat well at the same time growing our book of business, and the team has been executing in delivering these efficiencies across the platform focused on helping to drive and improve ROE.
Kevin O'Donnell: I think the area that probably just more focused on this is the casualty and specialty thinking about the combined ratio they're obviously the first thing I look at it is the loss ratio which looks good. Acquisition costs are higher in that book of business than they are for property or cat book. The good news is though that they are stabilizing. So we’ve seen that over the last few quarters and looking into 2017 we don't anticipate higher acquisition cost. And then finally a component of what you're saying is the fact that we're purchasing more seated in the specialty which is I think in a fact as well.
Elyse Greenspan: Okay. And one question in terms of the seated in the retro purchases, I know that something on you’ve purchased more coverage about the book this year and your commentary implies you guys want to do the same next year. You also did make a comment in terms of some opportunities within your ventures unit to on the retro side. I'm just trying to - try to get kind of tied together those comments kind of re through expecting in the retro market at one-one, and how you might see I guess growth opportunities to right the business and how the pricing there will impact your kind of seated strategy in 2017?
Kevin O'Donnell: Investors play an important role and the way we think about our gross demand strategy. What I was mentioning specifically as we actually already have a retro it's a broader than retrofit facility that provides retro risk to third party capital. And we might have an opportunity to deploy a little bit more of that, it's fluctuated massively in size of the last several years based on the opportunity. So I wouldn't read too much into it. I think interestingly our ventures team has been active thinking about ways to build contingent capital structures around our third party capital vehicles as well as well. We're not actively looking to build materially into the vehicles that we have now, but the more flexibility we have around those services as well as opportunities to emerge.
Elyse Greenspan: Okay, well thank you. And welcome and I am looking forward to working with you and I just want to echo comments in the call and wish on the Mark the best of luck. Thank you.
Operator: Your next question comes from the line of Joshua Shanker with Deutsche Bank. Your line is open.
Joshua Shanker: Thank you, good morning, everybody.
Kevin O'Donnell: Good morning.
Joshua Shanker: When we talk about budgeting for repurchases, you’ve said you plan in this type of environment to return all your income to shareholders in the form of dividends repurchases. Is that operating income, net income, net income less unrealized gains, how - from budgeting perspective how do you think about that?
Mark Wilcox: That’s good question Josh. I think that you don't target a level or return in capital is can be lose guideline and you may follow, but we really look at it as timing. We're committed to returning the capital back to our shareholders, but it's also a function of what we have out there in terms of opportunities for the businesses, the profile our risk portfolio as well as our capital and liquidity position that we out there. Again you can call it a lose guideline, but I would really say its timing and I wouldn't be contained confined to discrete quarters or discrete years.
Joshua Shanker: Absolutely.
Kevin O'Donnell: The other thing I add is just saying Bob coming on board has given us great ways to think about this, but really nothing has changed and the way we're thinking about managing capital and returning capital to shareholders.
Joshua Shanker: Is that loose guideline, I assume doesn't refer to time is that net income, is that operating income or is that net income less on realized gains?
Mark Wilcox: Would be net income.
Joshua Shanker: Net income. Okay.
Mark Wilcox: Again it’s low double underscore.
Joshua Shanker: It can be very loose and in terms is it budgeting process, is that a multi-year process or is that a one year process?
Robert Qutub: Just coming in and what we're doing is at some multi-year process you can see our strategies unfolding overtime and building out what we think our investments going forward and focusing in on key opportunities of the process is underway right now. And I know Kevin you might want to have a few words on just sort of a higher level view on the budgeting process?
Kevin O'Donnell: Yes, we’ve always look at it across the multi-year basis obviously with increasing uncertainty as we move out to after years. Really going back to the original question that that is very much, how we look at our capital management strategy, and specifically share repurchasing is we look at it over the long term. And we're not particularly concerned as to whether we're above or below net income in any given quarter or any given year.
Joshua Shanker: Can the Lloyd's business continue to grow if property cap pricing is broadly flat while specialty pricing continues to stick down?
Kevin O'Donnell: Yes, we the Lloyd’s business is actually a mix of the other businesses that we ride plus there's a component of insurance business that we're writing within the Lloyd's platform as well, and we believe that we've invested appropriately in the platform to the right people and increasingly have the right access to the business that we want to add. So even with weight pressure on property cap we anticipate we can continue to cut Lloyd’s platform. But as I said in the comments I think the growth is we're becoming of a size and the opportunity is challenging. So I think the growth will achieve in 2017 is less than the growth we achieved in 2016.
Joshua Shanker: That's very fair. Good luck with that. Thank you.
Kevin O'Donnell: Thanks.
Robert Qutub: Thank you.
Operator: Your next question comes from the line of Jay Cohen with Bank of America Merrill Lynch. Your line is open.
Jay Cohen: Thank you. Just a follow-up on the expense ratio issue, you obviously kind of change the geography a little bit between operating expenses and acquisition expenses. What we're looking in the third quarter. We're looking at in the third quarter, is this a reasonable starting point for our model is going forward, I assume that there were no sort of catch ups from previous quarters in there?
Robert Qutub: What you're looking at is going back to overall the net expense ratio really didn’t change - no impact on it. And it is a re-class on a year-to-date basis from between the operating and the acquisition. So you’ll slightly see an uptick going forward about 10% more given what we pull back from the first two quarters. But overall again it doesn't affect the net.
Jay Cohen: So the way maybe to look at it, because we do model obviously those separately to look at maybe the nine month run rate for both and kind of use that as a starting point?
Robert Qutub: As starting point for you to look at.
Jay Cohen: Great, thanks Bob.
Operator: Your next question comes from the line of Brian Meredith with UBS. Your line is open.
Brian Meredith: Yes, thanks, just a couple of questions here first. Kevin, you made a comment earlier that you think that the economics of the M.I. business would be better in 2016 and they will be in 2017 and 2018. I'm curious why that is?
Kevin O'Donnell: It’s a combination of factors including we were - it’s our belief that some of the underwriting criteria actually tightened up to on sustainably type levels. We were able to execute into some of the deals that we think have the best underlying underwriting associated with them. We think going forward, the underwriting criteria at the banks although loser is still actually quite sound and robust. So we think there's still opportunity. But we leveraged into the deals which we think are the highest credit quality.
Brian Meredith: Gotcha. Okay. And then one of the just a quick question with respect to capital management looking into capital base, do you look at kind of your required capital which you need to have on a gross basis or in net basis? So in case the retro goes away do you want to make sure you've got plenty of capital to withstand that?
Kevin O'Donnell: I think that’s one of the important things we look at. We spend a ton of time looking at a capital portfolio levels at balance sheet levels by geography both on a gross and net basis including in our ultimately - our ultimate risk roll out are substantial haircuts against our seated recoveries as events become larger just making sure that we continue to stress the system and are not overly rolling on a retro purchasing.
Brian Meredith: Makes sense. Thank you.
Kevin O'Donnell: Sure.
Operator: Your final question comes from the line of Ryan Byrnes with Janney. Your line is open. Mr. Burns your line is open.
Kevin O'Donnell:
.:
Operator: There are no further questions - your final question comes from line of Kai Pan with Morgan Stanley. Your line is open.
Kai Pan: Thanks, just follow-up on the reserve releases, if you look at year-to-date, the reserve releases about seven points, last year was about 12 points, I just wonder because recently we've seen some on the primary companies take a reserve releases starting slowing down and some that actually shows some reserve adverse pavement, I just wonder what your underlying trend in your specialty book in particular, because that's where you see the most in term of reduction in term of reserve releases?
Robert Qutub: Yes, if you're referring to the specialty book Q3 this year versus the comparative quarter last year. This year it was only about $20 million of favorable development and was somewhat early granular. And there wouldn't have been any large items looking back to Q3 three last year there were several large items that came through, then one with the restructure on the mortgage side that resulted in $56 million favorable development it really reflects the change and that's the biggest change we've seen on a year-over-year basis.
Kai Pan: Okay so excess some large develop in last year, so that the underlying you don’t see any sort of meaningful trend in term of loss inflation or from your seeded any sort of meaningful trend?
Kevin O'Donnell: I think the way I think about it is exactly as you're thinking about it which is whether we're seeing a trend or not on a favorable side. At this point, we're not seeing any trends what you're saying is really kind of idiosyncratic movement of reserves between quarters and years.
Kai Pan: Great, thank you so much.
Operator: There are no further questions at this time. I would like to now turn the call back to Kevin O'Donnell.
Kevin O'Donnell: Thank you. Before I close I also want to say thank you to Mark Wilcox, our Chief Accounting Officer, who will be leaving us at the end of the year. Mark is a good friend of mine and I've had the pleasure of working with him for many years. As equate, we contributed to his success of RenRe and making RenRe really what it is today. I wish Mark continued happiness, continued health and continued success as he begins his new life back in the U.S. Thank you, Mark. With that that concludes our third quarter call. I'd like to thank everybody for participating. And we look forward to speaking to you after the fourth quarter.
Operator: This concludes today's conference call. Participants you may now disconnect.